Operator: Good day, everyone, and welcome to The Trade Desk's third quarter earnings call. [Operator Instructions]
 It is now my pleasure to turn the conference over to Mr. Chris Toth, Vice President, Investor Relations. Please go ahead, sir. 
Chris Toth: Thank you, David. Hello, and good afternoon. Welcome to The Trade Desk Third Quarter 2016 Earnings Conference Call. On the call today are founder and CEO, Jeff Green; Chief Financial Officer, Paul Ross; and Chief Operating Officer Rob Perdue. A copy of our earnings press release can be found on our website and at the thetradedesk.com in the Investor Relations section.
 Before we begin, I would like to remind you that except for historical information, the matters that we will be describing will be forward-looking statements that are dependent upon certain risks and uncertainties. I encourage you to refer to the risk factors included in our press release and in our most recent SEC filings.
 In addition to reporting our GAAP financial results, we present supplemental non-GAAP financial data. A reconciliation of the non-GAAP to GAAP measures can be found on our earnings press release. We believe providing non-GAAP measures combined with our GAAP results provides a more meaningful representation regarding the company's operational performance.
 Lastly, I would like to highlight our participation in the following investor relations events: On Tuesday, December 6, at the Raymond James Conference in New York; on Wednesday, January 4, at the Citi Internet, Media and Telecom Conference at CES in Las Vegas; and on January 11, at the 2017 Needham Growth Conference in New York.
 I will turn the call over to founder and CEO, Jeff Green. Jeff? 
Jeffrey  Green: Thanks, Chris. Good afternoon to everyone joining us today on The Trade Desk's first earnings call as a publicly traded company. Today is a very exciting day and I want to start out by expressing our deep appreciation to our investors, to our customers, to our partners and employees who have worked with us and put their passion and trust in us over the past 7 years.
 We were pleased by the way the IPO process went and The Street's reaction to our offering. We are excited to share today that we exceeded our own expectations for the third quarter of 2016 and we broke many of our previous records.
 We continue to significantly outperform our industry and massively outpace global economic growth. During the IPO process, we had to make tough choices knowing it was perhaps it's our last time to choose our investors. We that know that going forward investors are effectively choosing us, and we are committed to work hard and help investors understand our business and our esoteric industry. So today, we will use some of our time to share our story and explain why we believe our best days are ahead of us.
 The recent IPO was a major milestone but in reality, it's just an early step in the evolution of The Trade Desk. I would like to reiterate what I have shared with our employees and our investors. First, we say over and over again that we're only 2% done. Meaning total programmatic ad spend today of roughly $10 billion is only capturing about 2% of the $640 billion advertising industry. By contrast, many high-growth companies are focused on certain niches, whether it's something like the action sports market or a corner of the wearables market. Instead, we are trying to change all of advertising, all $640 billion. And advertising needs changing. Many brands are unknowingly spending billions to make consumer hate them.
 They are spending in hopes of selling more products and services but instead, they're annoying consumers. This is because while consumer's media consumption is up, thanks to great partners of ours like Spotify or Google or CBS or AOL, the number of devices and media outlets are fragmenting rapidly. So if advertisers are going one to one to each site, station or channel to advertise, that doesn't account for how the message is shared on the other outlets.
 So we provide a cloud-based software platform that coordinates across every media channel, starting with digital, what message is shared to each consumer and each device. We aim to decision [ph] the advertising media that goes into every device in the consumer's home, whether the ads are on a smart TV, a computer, a smartphone, an Xbox, a Roku, an Apple TV, a tablet or any other device on the Internet of Things. We think we are uniquely qualified to objectively buy ad media because our of market-leading technology and because we don't own or arbitrage the media.
 The second value that we've shared with our employees and early investors is the philosophy that we hope to maintain. For our specific business and business model, we don't believe that growth has to come at the expense of profitability. We can do both, and we have since 2012. We've been profitable since then and have grown faster than any scaled player in our space during that time.
 And third, while our team has done an outstanding job of getting us to the current level of revenue and profitability, we are focused on the long term. And to win the lion's share of the other 98% over the long term, we know we have to consistently execute. That's a given. But this race to transform a growing $640 billion industry is a marathon, not a sprint. Sometimes, there are approaches, especially since we're a platform with so much operating leverage, that can make a quarter but not maximize the long-term opportunity. We have committed to our employees to focus on the long term. We have asked them to make the same commitment to us.
 So while our focus is on the long term, I want to say that I am super pleased with our performance over the past quarter. We surpassed our own expectations and delivered record revenue and strong adjusted EBITDA in the September quarter, and we look forward to delivering an even stronger fourth quarter. We will talk about the scales of the numbers in a few minutes.
 For those of you that are not familiar with us, The Trade Desk is a self-service software platform for buyers of advertising. As the world of advertising becomes more digital, both in transactions as well as in delivery, we're helping the industry transition by making data-driven decisions. Our software platform allows our customers direct access to desktop, mobile, social network, audio, native, TV and video ads. They can purchase us via our web-based UI or via our API, our application program interface.
 More specifically, we target ad agencies, large and small, whose job it is to deliberately select from the 200 billion-plus digital ad opportunities available every day, so they can choose what they want to buy for their clients. We are not trying to disrupt advertising or bypass ad agencies. We are focused exclusively on the buy side of advertising by providing the technology layer that enables ad agencies and service companies to be more efficient and provide more value to their clients every day, and we do this in a number of ways.
 First, we're an omni-channel provider, and this means that when media buyers at large advertising agencies like the WPP or Omnicom want to reach a consumer, they prefer to log in to a few platforms at most, not 25, where they can coordinate branding and messaging across multiple advertising channels all in one place. Individuals no longer rely on a single device. Nearly all of us as consumers use multiple screens each and every day. The Trade Desk takes those devices into account and enables a higher level of coordination and strategic targeting advanced by proprietary data and technology, including both first- and third-party data across all of these channels.
 To power the biggest agencies and brands in the world, we also have to be global. The largest brands in the world like Coca-Cola, American Express, IBM or HP advertise in 150-plus countries, so we have to provide one platform that buys advertising programmatically in all of them. That does not mean we need to have offices in all those countries, but we are in nearly all of the major media hubs around the world where media buying decisions are made. We are currently in 16 offices around the world. And as we say to our employees, we are not an American company. We are a global company that is headquartered in the United States.
 Next, we are an agnostic platform, where advertising buyers can purchase inventory across the entire Internet. We don't own media by design. We align our interest with the buyers of apps, and we build our technology specifically for them. So we have a level of alignment and objectivity that most competitors don't, and we can buy media without complex or bias from companies like Google and Facebook and CBS and Spotify and hundreds of other aggregators and literally millions of websites and channels and outlets, including many properties that have stated that they want to monetize their own media.
 So now, in order to buy the entire Internet effectively, we put our customers' first-party data to work. Large consumer brands that are moving towards programmatic like BMW, Kimberly-Clark and Pepsi each spend billions of dollars a year in advertising through their agencies. And they need a partner they can trust with their data. A partner who's aligned with them, who can effectively manage and protect that extremely valuable and proprietary data. This is first and foremost what we do at The Trade Desk, and this is where our technology comes in.
 We started The Trade Desk back in 2009 when we built our DMP, or data management platform. We created this platform so we could activate our customers' first-party data for them. We then combine their data with third-party data from some of the largest data companies in the world such as Acxiom, Experian, Oracle and others so media buyers can make better decisions. Only after we had significant data assets did we start buying media. Today, data usage is growing. In Q3, existing customers bought twice as much data on our platform than they did the prior year.
 To provide some sense of scale, in 2015, when Facebook announced it reached 1 billion monthly users, we already had rich user profiles on multiple billions of devices and had evaluated ad opportunities from nearly all global citizens that had a consistent Internet connection. On top of the DMP, we built our decisioning technology, which is based on the principle of expressiveness. Now expressiveness is a term we use a lot with our customers and internally, and it defines as how they want to target and whom to target with their advertising so they have better efficacy with their ad dollars. From the beginning, our goal is to build the most expressive or precise platform in the world. Unlike other platforms, our technology does not use line items where every permutation requires a user-defined data or budget. Instead, we developed our technology so users can create billions of permutations with just a few clicks of the mouse.
 We also built our technology around the philosophy of a clear box as opposed to a black box. With clear box, we can provide full transparency to our customers. We help them make decisions but they can see all the mechanics, the data and the insights for themselves, and they can change anything they want to. This means that every single ad strategy is supported for every single advertiser with billions of permutations and targeting capabilities. In other words, we made a system for buyers to objectively buy across all forms of digital media. We structured the technology so that media buyers can make -- be super precise, and that precision doesn't just help in targeting but it also helps in reporting.
 On the reporting side, we have created what we believe to be the most complete, most detailed and most transparent reporting and advertising. This helps our customers evaluate their programs and make better decisions as so much of ad buying today is still made in the absence of quality data. All of this is possible because of our transparent and objective approach to making advertising work better. In a fragmented media world, advertisers and agencies are afraid that the efficacy of ads is not keeping up. After all, the TV world is adding more ads into every commercial break; radio, both terrestrial and digital is struggling to have enough ad variety and targeting to make the ads effective.
 But because in digital we can measure so much for the first time, our customers are able to measure efficacy. Even though media companies have become more valuable, they have fewer watchers, fewer readers and fewer listeners than they have in the past. Media companies are all experiencing the pressures of rising content cost and therefore, they are rising the prices -- or raising the prices on the ads despite having fewer users. Therefore, our role is to use technology and data to help our advertisers achieve high returns in their advertising investments.
 Finally, unlocking the power bar of our technology can only be done with great people showing our customers how to effectively use it. We provide a dedicated account management and trading team that ensures our customers know how to maximize the value they derive from our platform when they log in every day. I'm proud to say that our customer service strategy and customer feedback has been highlighted in The Forrester Research Wave report as one of the best options for ad buyers. We hear from our customers again and again that our people are transforming their businesses.
 So now that I've described the technology platform we provide to customers, I would like to spend a minute on how we contract and retain our customers. We have a business model that we believe is better than SaaS for our industry and our agency partners. We have recurring revenue, but we also have a pricing model that deviates from traditional SaaS. Our platform licensing fee is effectively a percentage of growth spend through our platform which aligns our interest with our partners. Over 95% of our business comes through master service agreements or MSAs. And we have a 95%-plus customer retention rate. This provides us with a subscription-like predictability in our business. This is significantly different from legacy technology models that use insertion orders where they have to win business over and over again from the same customer.
 Now at a high level, I'd like to share some thoughts on our financial performance for the third quarter of 2016. Comparing our Q3 2016 to Q3 2015, we grew our revenue by 84%. Considering digital advertising grew by just 19% over the same period according to the Internet Advertising Bureau, our 84% growth is outpacing nearly everyone in our industry and nearly all companies of our size. Despite our aggressive investments in operations for TV, radio, native and international growth, we generated $16.6 million in adjusted EBITDA, which is a 31% adjusted EBITDA margin.
 Let's talk about 3 of the biggest channel growth areas for our company and our industry: video, mobile and digital audio.
 We ended the third quarter with over $0.25 billion run rate in video. Our video growth, which includes full episode players and connected TVs and set-top boxes and web video, grew by 185% in the first 9 months of the year. Given that TV budgets are about half of the global advertising pie, we view this as one of our most promising metrics that we can share with you about our business, especially if you couple that with over 95%-plus retention rate in the third quarter, meaning that the customers we had a year ago, 95%-plus of them are still using our platform today. But not only are they spending, they're spending more. Rob will discuss that a little bit more when he discusses our cohort.
 For Q3 2016 over Q3 2015, mobile was up by even more. It was up 205%, now representing over 30% of our gross spend. During that same time, mobile video was up 350% for the quarter year-over-year. So if you believe, as I do, that the future of our business is dependent on our growth in video, which includes television, and mobile, this quarter represents a very promising time for our company.
 And finally, digital audio. Digital audio is off to an amazing start. We launched in beta in Q2 but we moved to general availability, or GA, in Q3. And in large part due to our partnership with Spotify, that channel grew by 9,090% in the third quarter, albeit from a small base. We are extremely pleased with our quarter and so excited that we are already profitable in the areas that we see growing fastest. We are just as excited that the same areas are where we have the most amount of unrealized potential.
 Now I'm going to turn the time over to Paul to discuss our financials in a bit more detail. 
Paul Ross: Thanks, Jeff. Good afternoon, everyone. Overall, we continue to experience growth meaningfully above the industry averages, which means that we are continuing to win market share. Specifically, year-over-year revenue growth in the third quarter was 84% and year-over-year adjusted EBITDA growth was 78% as well as another quarter of positive GAAP net income.
 Because our business follows the seasonal trends of the entire advertising industry, we provide a year-over-year comparison unless otherwise stated. We report revenue on a net basis, which represents our growth bill-ins, less the amount we paid to suppliers for the cost of advertising inventory, data and add-on features.
 We derive nearly all of our revenue from ongoing MSAs that give users constant access to our self-serve platform as opposed to insertion orders or other one-off deals to run single campaigns.
 Revenue for the third quarter was $53 million as previously mentioned, up 84% year-over-year. This growth reflects both expansion of our share of spend by our existing clients as well as the addition of new customers. Approximately 87% of our third quarter gross spend came from existing customers who we define as those that have been spending with us for over 1 year.
 On a year-to-date basis, revenue for the first 9 months of 2016 was $131 million, up 83% year-over-year, with 90% of our year-to-date gross spend coming from existing customers.
 Our operating expenses increased in parallel with the growth of our business to $38 million in Q3 of 2016 from $20 million during the same period in 2015. The increase in operating expenses was primarily due to overall increases in personnel, delivery and marketing expenses, which included the expansion of our product, sales, service and management teams.
 Total other expense net was $6.1 million and included a noncash charge of $4.7 million associated with accounting for the preferred warrants and the $750,000 success bank fee from a prior debt facility. Both of these expenses were a result of the IPO and will not recur.
 Lastly, we reported $5.3 million in income tax expense associated with our third quarter taxable income. Our effective tax rate was 59% in Q3 due to the nondeductibility of stock compensation expense and the expense associated with the change in the fair value of the preferred warrants, both of which are noncash.
 Because income taxes are calculated on a year-to-date basis and adjusted each quarter, our Q4 effective tax rate will be similar to Q3's. We expect that our tax rate will dip back down to the low 40s as a percentage of 2017 once the warrant expense is behind us. I should also remind everyone that since we have no NOLs, we do take corporate income taxes at the full statutory rates. Over the long term, however, we expect our tax rate to decline as we ramp up our international business and start achieving the savings of a lower tax rate on international profits.
 GAAP net income was $3.6 million for the third quarter of 2016 or $0.06 per fully diluted share. And on a year-to-date basis, our GAAP net income was $10.2 million.
 We use adjusted EBITDA as the core metric for our business, and we calculate our adjusted EBITDA by excluding stock compensation and the non-cash warrant expenses. Adjusted EBITDA was nearly $17 million with a corresponding margin of 31% in Q3 as compared with an EBITDA margin of 32% during the same time last year. The increase reflects growth of our top line and, of course, our operating leverage, slightly offset by our ongoing investments in product, people and global expansion.
 In addition to adjusted EBITDA, we also look at adjusted earnings per share as a financial metric, which is GAAP earnings per share less the impact of stock compensation expense, the non-cash warrant expense and any additional unusual items that we do not expect to recur. And our adjusted earnings per share was $0.24 for the third quarter.
 Net cash provided by operating activities was $39 million for the year-to-date period 2016 compared to net cash used in operating activities of $26 million for the same prior year period. This represents a $65 million turnaround in our working capital situation even as we have scaled significantly. We closed the period with $124 million in cash, which includes the approximately $74 million in net proceeds from the IPO after underwriting discounts and offering costs. And we also have an additional $74 million available on our revolver.
 Our DSOs for the 12-month period ended September 30, 2016, was 86 days, an increase of 8 days from the prior year period. However, DPOs for the same rolling 12-month period, was 63 days, an increase of 14 days from the prior period, which reflects the fragmentation of supply and better payment terms with new suppliers. While the longer DSOs are expected given the growth of our large global agency business, we believe our efforts around managing DPOs plus our current revolver availability are more than sufficient to manage our working capital for the foreseeable future.
 Looking ahead to the fourth quarter, we expect revenue to be $62 million. We expect to have continued positive net income and an adjusted EBITDA margin of 30%, which includes increased investments in growth activities. For the full year 2016, we expect revenue to be $193 million on total gross spend of around $1 billion.
 So with that, I'd like to turn the call over to Rob Perdue, our Chief Operating Officer, for additional insights on our business operations. Rob? 
Robert Perdue: Great. Thanks, Paul, and good afternoon, everyone. Let me just take a moment to echo Jeff's sentiment from the top of the call on how excited we are to be here today. Without the grit and commitment of our employees or the trust that our customers and partners have placed in us, we wouldn't be here today. And from an operational perspective, we remain focused and continue to execute on our business plan. The upside in performance versus our internal expectations for the quarter came in part from stronger-than-expected political spend and incremental advertising around the Olympics.
 When we look at the 18 most competitive congressional district elections, the average increase in spend across these races was 900% when you look at September versus August. So political spend gave us a nice bump in Q3 and a smaller bump that we've built into the Q4 numbers that Paul just shared a minute ago.
 In addition, mobile video was very strong during the quarter as advertisers continue to move programmatic dollars to this channel. Mobile video is one of the areas we're investing in heavily, both in terms of the technology and tools on the platform as well as more access to inventory. And what we referred to collectively as our newer channels, which include mobile video, native, audio, connected TV and cross-device products, those collectively grew 59% in just 90 days from the end of Q2 to the end of Q3.
 In terms of pure percentage growth, audio was our fastest growing channel, as Jeff mentioned earlier, massively exceeding the growth of our other channels. Now we're only in the very early stages of audio but adoption is growing more rapidly at this point than most channels we've introduced in the past. Fewer than 90 days into our generally available release of audio, we're already playing audio ads in more than 120 countries.
 From an operational perspective, we focus on the long term and in particular, our 3 main drivers to capitalize on the opportunity that we see in front of us.
 The first driver is to be our customer's trusted adviser. During a time of massive shift of advertising dollars from traditional and digital advertising into programmatic, we strive to be the programmatic experts alongside our customers. So thousands of media buyers from the largest global agencies to smaller local and regional agencies, they come into their office every single morning, they turn their computers on, and one of the first things they do is to log in to The Trade Desk platform and begin their workday. They spend all day there, loading ad campaigns, optimizing the campaigns they have live, adding value to their clients. And we are there for them in that process. As one example in the third quarter, we launched several native inventory suppliers on our platform. And our team spent significant time training media buyers at agencies how to incorporate native ad units into their omni-channel advertising campaign strategies. And as a result, we saw 10x growth in native spend in Q3 compared to Q2.
 The second driver is our focus on growing our omni-channel presence. When we started, we were primarily a display-based platform because that's where the programmatic dollars were first spent. But over the last 5 years, we've seen a dramatic shift. In Q3 of this year, display advertising was less than half of the spend coming through our platform as customers typically prefer to coordinator programmatic dollars across multiple channels for maximum efficiency and efficacy.
 The third driver is widening our geographic footprint to make sure we serve our customers locally in the markets that are important to them. In short, we go where our customers need us. The Trade Desk is a global company with 16 offices located throughout the world. We've set up offices and media hubs around the world, including London and Hamburg in EMEA, and across Asia in places like Singapore, Sydney, Tokyo and Seoul, amongst others. Now on a percentage basis, international growth has outpaced the U.S. every single quarter in 2016 for The Trade Desk. Last quarter, our international markets collectively grew 4x faster than the U.S. on a quarter-over-quarter basis. We expect our international growth to outpace our domestic growth in the coming years. And as a result, we are investing in infrastructure in strategic locations, including China. This includes partnerships with larger suppliers of inventory, and we look forward to reporting on our progress in the coming months.
 Now combined, these drivers, along with our unique technology platform, are the reasons why customers continue to choose The Trade Desk as their demand-side platform of choice. Our customer retention rate consistently remains greater than 95%. Through the first 3 quarters of 2016, our cohort growth for existing customers of The Trade Desk spent 81% more than those same customers spent in the first 3 quarters of 2015. One of the most compelling things we can share about our company is a detailed cohort analysis, and we'd encourage you to look at the cohort information we provided in the S-1 that we filed earlier this year. So today, we're excited to report that our 2015 cohort has grown by 247% through the first 3 quarters of 2016.
 To provide some guidance for modeling, I'll share the way we think about modeling our business. We always think of our cohorts and our cohort potential as the main drivers of our business and not really overall increases in customer accounts. It's really the cohorts. From a product perspective, we did 12 product releases in the quarter, including 186 new product features and enhancements. These releases included a major new update to our UI, which is receiving positive customer feedback; new cutting-edge version of our viewability products; hyper-local mobile targeting; and reporting improvements to our enterprise APIs. All of these releases are helping our customers become more expressive.
 At the end of the September quarter, we had 437 employees worldwide. And at $396,000 on a trailing 12-month basis, our revenue per employee continues to stand out amongst other SaaS and ad tech industry peers as our business model is scaled to -- designed to scale efficiently.
 Due to the seasonality of our industry, we focus on our hiring efforts on the first half of the year so that each employee is fully trained and ready to contribute during the higher volume second half of the year. We maintain a very strong culture here at The Trade Desk and we believe that serves as a long-term advantage in running our business.
 Characteristics like grit, humility and collaboration, those are the things that drive the culture of our company. We are regularly named as one of the best places to work in the United States, most recently by Crain's in New York, and we are very proud of that and seek to maintain that strength to lead our future growth.
 Now along with Jeff and Paul, I'm extremely pleased with our progress over the past quarter and with the guidance we have put forth in the fourth quarter. With the election now behind us and ad budgets and clearing prices becoming more predictable, I'm really optimistic about our performance heading into the end of the year. Advertisers continue to migrate their dollars towards programmatic, and we expect to see solid year-over-year growth across all of our channels and geographies. I couldn't be more proud of where The Trade Desk is today. We're more confident in our strategy as we proceed into the future.
 I'd like to again thank our customers, employees and partners for their commitment to fundamentally changing the way advertising is bought and sold and for joining us on this journey.
 And with that, let me turn it back over to Jeff. 
Jeffrey  Green: Great. Thank you very much, Rob and Paul. Before moving to the Q&A session, I would like to highlight growth drivers we see long term. We are excited about the long-term opportunities that are just getting started now. We continue to see advertisers and agencies realizing the return on investment in programmatic ad spending and increasing spend across all of our channels. I am very pleased with our progress on video and TV. And as the industry shifts, The Trade Desk is investing heavily into our engineering team and people to capture the video and TV market as it moves toward programmatic.
 Nearly all of our customers have expanded spend into mobile advertising as well. We have hundreds of customers now using in-app advertising. In-app alone has grown about 160% since the first quarter of this year. And mobile advertising is a big opportunity globally, and we expect it to continue to grow around the world but especially in Asia. We will continue to invest in markets around the world, and we are expecting to open offices in Indonesia, China, Spain and France in the first half of 2017.
 One last area I'd like to touch on is digital audio. This is one of the biggest things happening in media right now, and we are starting to see the industry move towards programmatic. We recently launched our partnership with the Spotify and they continue to gain more consumers' time as people listen to connected radio more. The digital audio industry needs programmatic advertising as it benefits content providers with a lower cost of sales while delivering more relevant ads, which leads to a better consumer experience.
 Given our third quarter results and accomplishments we have achieved, we are confident in the direction of our business and we are delivering on the commitments that we've made, the commitments that we made to our customers, to our investors, our partners and to our employees. We are focused on the long term, and this is how we will continue to operate our business and perform.
 So with that, we look forward to your questions. Operator, let's begin with the Q&A. 
Operator: [Operator Instructions] And we'll take our first question from Mark Kelley with Citigroup. 
Mark Kelley: You highlighted mobile growth in the quarter. Some competitors have talked about mobile video usually not having third-party measurement in place and advertisers kind of holding back there. That doesn't seem to be impacting you so would love to hear your thoughts there. And second, international growth exceeding the growth domestically, what are the main geographies today? And can you expand just a little bit on the plans in Hong Kong? 
Jeffrey  Green: Sorry, can you say the last part of your question one more time, the part about Hong Kong? 
Mark Kelley: Yes, just expand a little bit, to the opening an office this quarter. Just a little bit more on the plans there would be helpful. 
Jeffrey  Green: Fantastic. Thank you. I'll take a stab at the first parts of the question. So as it relates to mobile video and measurement, I should first say that we think about things a little bit differently than some of our competitors. You mentioned that that's sort of the impetus for the question. We think about video and television as sort of 1 category. Even though you have to adapt for each of the different categories, we think of them together. We do actually measure mobile video separately from mobile and from video when we're talking about how we measure it internally just so that we cannot double count in both mobile and in video. But that said, the measurement issue is I think a little bit different just because we come at it from a digital-first perspective, and because we measure it much the same way that we do the rest of video and television, that hasn't been an obstacle for us. It doesn't mean that there aren't obstacles facing all of television measurement. There are -- or video measurement. There are. There absolutely are and there are things that need to improve. But because of our digital-first approach, it doesn't affect it as much. As it relates to the international growth, I couldn't be more pleased with the number that we highlighted, which is 4x international growth compared to the United States. That's actually pretty evenly applied around the world. But Asia, because in many of the markets that we're in like Hong Kong, we haven't been in as long as we have for instance in the U.K. or Germany, so the growth rates are even faster. The growth in Hong Kong is unbelievable. Rob, I'm not sure what you would add or any color you'd add on Hong Kong. 
Robert Perdue: Sure. The only thing I'd add is I think you said where are we strong -- we're very strong in Southeast Asia. We've been there for nearly 4 years now, as well as Australia. And so we're seeing remarkable growth in both of those regions. In Southeast Asia, there's a phenomenon where the spend was in Singapore and it's starting to move out to other large countries, including Indonesia, which Jeff highlighted on the call. In terms of Hong Kong, we landed on the ground there just about a year ago. We've got a really significant growth in Hong Kong and we're adding to our team and investing in inventory partnerships. And when we talk about investing in Q4 and Q1, what we're really talking about is Mainland China. And so we're doing the things around inventory and data and data centers and people to get ready. But more to come on that. 
Jeffrey  Green: Yes. The one thing I'll add before we go to the next question is to be big picture and think about the long term, part of the reason why we're over-investing so much, and it's hard to say we're over-investing given that we're already seeing the returns on the business, but we are putting so many more of our employees on a sort of per-revenue-dollar basis into particularly Asia. Just remember that of that global advertising pie, the $640 billion, which we're constantly referencing thinking about, talking about internally, we can't get our eye off of the ball, which is the U.S. or North America really represents about 1/3 of the global advertising pie and the other 2/3, of which the fastest growth is coming from the rest of the world and particularly in Asia. So we need to continue to make those investments in order to get the best out of it. So we're super excited of the growth we're experiencing in Asia. 
Operator: Looks like our first question will come from Mark Mahaney with RBC. 
Mark Mahaney: Sorry about the background noise. Jeff, Rob and Paul, congrats on the first quarter out. Jeff, your updated thoughts across the industry on header bidding, what trends you're seeing there and the impact it's had specifically on The Trade Desk. 
Jeffrey  Green: You bet. Thank you. So header bidding certainly continues to be one of the most discussed topics in all of digital advertising and certainly inside of programmatic. So many things to remember about header bidding. For those of you that are unfamiliar with it, I'll just give a 1-minute sort of overview of what it is and the impact that it has on our business. And then I'll talk specifically about the trends that have happened in the last 90 days. So header bidding essentially makes it so that instead of there being what has historically been a waterfall, where the top portion of the inventory at the website -- by top I don't mean at the top of the page, I just mean the most valuable stuff -- will go to one company. And then whatever they don't monetize will go to the next company, and whatever they don't monetize will go to the next company. And that means that you have 4, 5 or 6 or more companies that all get different bites at the apple. And what historically would happen is you would manage all of this through Google's ad server, DoubleClick, and they will help you control the waterfall. What header bidding has done is it's basically enabled via technology to pass into that decisioning tool, DoubleClick, what an option would produce in terms of yield so that instead of running the waterfall, all of the competition can be unified. So it creates what we call in the industry a unified option instead of this waterfall. So instead of yield being fragmented, so you effectively have 4, 5, 6 or more sort of pools of liquidity or different markets. They're all together. And that fuels competition. So the byproduct of header bidding is that particularly on the sell side, the sell-side providers are competing with each other. And the impact that, that has on us is that it's forcing them to compete with each other, often making it so that their -- the amount that they can take in order to be competitive has to go down, meaning that more dollars are going to the actual media. But there's also another effect, and this is -- relates to the recent trends, which is as publishers have recognized more yield as a result of header bidding, they started to include more SSPs and exchanges in the header. So that means that I can often get called 3, 4, 5 times on a particular impression request. And then I have my choice to choose between do I buy this particular impression through SSP #1, ad exchange #2, SSP #3 or SSP #4. That encourages once again competition, but it can also increase the cost of demand-side platform listening to all these different requests because even though the number of impressions didn't go up, the number of calls to us did. Given the fact that we're so scaled and profitable, I think this represents a bigger barrier to entry for our competitors and makes it harder for them to be competitive. And I do think it will, in the medium term, represent consolidation on both the supply side and the demand side. So the number of conversations we're having about powering demand -- other demand-side platform is at an all-time high. And I think it's a byproduct of this header bid. A lot of esoteric nuance in that answer but that's sort of the state of the union. 
Operator: And we'll take our next question from Brian Fitzgerald with Jefferies. 
Brian Fitzgerald: A couple questions. In general, how do you feel the market is evolving around digital TV and audio? I guess the point is, is programmatic adoption accelerating in those channels? Is the spend accelerating? And then as you look at international dynamics, do you expect it to be any different there for any systematic reason? And then one more I wanted to ask was around the product releases. 12 product releases, how should we think about that going forward? Is that the usual rate? Or is there a quicker tempo as you address emerging video, audio and international opportunities? 
Jeffrey  Green: Fantastic. So I'll take a stab at the third part of your question. I'll ask Rob to take the first crack at the first 2 portions of the question. So as it relates to the product releases, we more or less ship product every single week. And so with 12, 13 weeks in a quarter, we're shipping every single week. So when we talk about the 12 that's what we're doing, sometimes we'll do that more or less depending on holidays and things like that. But it's our goal to ship product at least weekly. As it relates to like how you should think about that going forward, one of the things that I think we've done really, really well in the year -- so far this year and certainly influences the way that we make investments in 2017 is we have figured out how to not let the increasing side of our engineering team decrease the productivity per engineer. And so we are super excited to release a number of products and features. We're going to keep trying to get better about how we can give you more color on what that means because obviously they're different size and scope. But we wanted to start by just giving you at least a small amount of visibility into how much we are producing because we are producing more products than we ever had in our company's history in the third quarter. And we expect that to accelerate as we're making investments. And so as we -- and particularly in next quarter's annual summary when we're summarizing all of 2016 and giving guidance for 2017, you'll get more of a sense of the investments that we're making in technology. So knowing that productivity is doing so well is -- hopefully creates as much optimism in you as it does in me. But with that, Rob, do you want to take the first 2 parts of the question? 
Robert Perdue: Sure thing. I'll start with the international growth and sort of rate of growth and how bullish we are. So really bullish. As we said, it's grown faster in every quarter in 2016 relative to U.S. spend. We expect that to continue. We see the rate of growth continuing to grow faster, frankly accelerating. But it's really hard to put a number on what the percentage growth is relative to the U.S. when we look forward other than to say it's going to grow faster and it's going to accelerate. And when you think about places like Japan where we've been on the ground for nearly 2 years now, the third largest media market in the world and yet only about 5% programmatic penetrated. So there's just a massive amount of room for growth. You think about Indonesia, the fifth-largest country in the world by population, the fastest-growing middle class, very concentrated set of publishers. It's ripe for programmatic entry, and we're doing really, really well there and expect to grow significantly. So those are just 2 examples of many international markets of size and scale that we think have massive potential going forward and will continue to drive our international growth being faster than our domestic even at the same time that we see U.S. growth continuing to grow much faster than the overall digital advertising growth. And then for the first question, I -- could you just reiterate the -- I'm trying to remember the question. 
Brian Fitzgerald: No, I think you got them. I think you hit both of those, Rob, so I appreciate it. 
Jeffrey  Green: No problem. The last thing I'll just add on the international, just to echo sort of Rob's sentiments, is that one of the great things about our international growth, and particularly when we talk about areas like Indonesia and China, those require meaningful investments. And Indonesia has almost as many people as the United States, has one of the fastest-growing middle class in the world. I am so excited about that market. But one of the reasons why I'm so excited about that market is because we're going in there seemingly by ourself, and it's because our competitors, in large, can't afford to go into that market. So in the response to the last question, I just mentioned that because of header bidding, it's harder to compete. It is the bar or the -- yes, the bar to get over to be profitable is higher than it was 3 months ago or 9 months ago by a lot simply because there's more bid requests that you have to look at in order to be competitive. That makes it harder to go make investments in nascent markets like Indonesia. So we think because our competitors are going to struggle to have the resources to invest in those markets, we're going to be in markets that are more likely to go programmatic faster for the same reason because publishers can't afford to have sales people there and that's just creating an amazing environment for us to go own a programmatic market. So one of the most exciting parts about our international growth -- and I actually think it's a really important commentary on why the growth rate is so much higher than it is in the United States. There's less competition. We can afford to be there, and programmatic is a better way for content owners to distribute there even than in the United States. 
Operator: We'll take our next question from Aaron Kessler with Raymond James. 
Aaron Kessler: On the EBITDA guidance for Q4 of roughly 30%, can you just walk us through that? It implies kind of slightly down sequentially. Normally, Q4 will be up on the EBITDA margin side. It looks like sales and marketing might have been lighter than expected in the quarter. Would you expect that to ramp in Q4 as well? 
Jeffrey  Green: Great. I'll ask Paul to give the -- just financial nuts and bolts. And then I'll add just some color. 
Paul Ross: Okay, sure. Aaron, the EBITDA guidance for Q4, there's really nothing unusual in there other than just the timing of the investments that we're planning to make. You probably recall from the roadshow we talked a lot about the investments we're going to make in people and technology around television in particular, and of course, the international growth and opening up all of the international offices. So the difference there in EBITDA is just the impact of those investments. 
Jeffrey  Green: Yes. I'll just add a few words and color. So I've been looking at this year very closely in terms of the things we were touching on a few minutes ago, which are what is the productivity per engineer and how are we affected by the network effect. That is a question that I have been closely watching all year long. And I -- this is one of the things that I am just so optimistic about, is that because I believe we're so productive and there are so many opportunities in television, in mobile. And those growth rates that we highlighted throughout the call just make it so easy to make the best, to make the investments. And so that's what we're investing in. So we are doubling down. We are investing. We gave guidance during the roadshow process. We're giving guidance now that we do expect EBITDA to dip down because we are making those investments. Those investments are starting now -- or have already started, I should say. But let's not lose sight of the fact that we're still in line with mature SaaS companies in terms of the EBITDA margins that we're producing. So when we say we're going to make investments and we're sort of trying to temper expectations or give expectations there, we're not talking about going to 0 or even anywhere close to it. We're simply talking about lowering them a bit on where we've been. But we certainly don't want people to misinterpret that as where they are at steady state. That's simply a byproduct of us making investments with the green shoots we're already showing are no-brainers. 
Aaron Kessler: Great. And just a quick follow-up, can you give us any data on kind of maybe client count, how that's progressing either qualitatively or quantitatively and then also maybe just penetration with existing clients as well? 
Jeffrey  Green: Yes, so we haven't -- we've decided today to not provide the client count on a quarter-by-quarter basis. Frankly, we're still even contemplating providing it on an annual basis. But at this point, I can say we expect to. In other words, that's -- and the reason why, Aaron, is for the thing that Rob mentioned in the call, which is we do all of our modeling off of cohort analysis and particularly the potential of each individual cohort so that we're looking at them together because we encourage our account managers and salespeople and traders to look at their sort of book of business as AUM. They're placing bets together. And we don't want them to be overly focused on client count and getting the certain amount out of every client. We don't think about it that way. And so we just don't want to lead anybody down the wrong path, particularly as it relates to them creating models. So -- but we do want to show you that we're growing but it's sort of a double-edged sword. So that's the thing that we're struggling with. 
Operator: And our next question comes from Kerry Rice with Needham. 
Kerry Rice: Congratulations on a successful first quarter as a public company. Two questions if I may. First one is can you talk a little bit more about your relationship or partnership with Spotify for digital audio? Because you generally represent agencies, is there something different about that relationship that gives you a competitive advantage in digital audio? And then the second question is you mentioned consolidation earlier. You expected that to occur. We obviously had an acquisition announced this morning. Do you look at that particular acquisition as an opportunity to fill a gap? Or do you look at that as any opportunity at all or negative for the industry? Any just context, maybe your feelings about DSPs on the video side getting taken out? 
Jeffrey  Green: Awesome. I appreciate you asking both of those questions. I was hoping that we got a chance to talk about both of them, so thank you. I'm not sure if this one is allocable to Rob, but I'll give it -- I'll take the first stab at Spotify and then I'll come back to TubeMogul. So first, as it relates to Spotify, it -- essentially, they have a challenge which is they want to make certain that they protect their customer experience. And every publisher, every content owner has that challenge. But frankly, I think in the digital audio space and particularly because they have done such an amazing job of growing that they want to protect that experience. So the way that the process was run -- and they said, "Okay, we want to get in the programmatic space because we've recognized the benefit of distribution in that way." So they went to the agencies and they asked them, "Hey, if we were to use -- if we were to partner with a couple of DSPs, which do we use?" And what they heard over and over and over again was, "Please talk to The Trade Desk." And so we have been very working very closely with them to make certain that they share the right amount of data and insight that the way that the auction is run and the information that they pass over to the auction gives us enough insight so that we can give them an ad tailored for that person so that they have a better experience. So often, that work is just done by us connecting to an SSP, and there's no dialogue with the content owner. But in this case, we've been working so closely with Spotify to just make certain that it's successful, that I do think that is a commentary on why it's been so successful and why we're so excited by that 9,090%. I'm not sure if in subsequent calls I'll get to use the number 9,090, but I'm so excited by that. And then I'll touch on TubeMogul and then, Rob, if there's anything you can add. So of course, the TubeMogul acquisition was announced just today. So it is early for me to provide any real commentary, and things could change based on what I'm going to say. But I'm happy to give just my sort of visceral responses. So as you know, we're an omni-channel platform and we believe that the winners in the DSP race have to be omni-channel. Of course, TubeMogul has been a point solution just focused on TV and video. And so it makes sense that they would join Adobe, who is more likely to be omni-channel. One thing that I think is really unique though is that Adobe, at least the way I understand it, has predominantly been a managed service offering and not a self-service platform. And that has meant that they go direct to advertisers more than they go to agencies. TubeMogul has had a blended business and had some sort of, I would say, channel conflict. But it will be interesting to see how that resolves once it gets integrated. What that does mean is that Adobe effectively has 2 bidders. They have the DSP that they have been working on, on their own, and now they have TUBE. They're going to have to pick one, and either way, they're going to have to integrate. And as somebody who spent time looking into that a lot, the integration work is not simple. So it really comes down to a question of, how much will that impact their agility? Is the fact that they're coming together and perhaps becoming more of an omni-channel offering, does that benefit, outweigh whatever is lost in agility? For now, I would just say that I think the fact that this makes them less likely to service the agencies and digital solutions companies that we tend to focus on and the fact that they're perhaps less agile than they've been in the past, this represents, I think, an opening or an opportunity for us. 
 Fantastic. I know we're at about time. 
Chris Toth: We have time for a few more questions. 
Jeffrey  Green: A few more? Okay, great. 
Operator: All right. And we'll take our next question from Shyam Patil with SIG. 
Shyam Patil: Just a couple. The first one, Jeff, you highlighted higher growth is more than 4x-ing the market, and you talked about how some of the newer growth drivers like audio, TV and international are starting to see strong uptake. Is there any reason why this pace of growth shouldn't continue, especially given the low penetration in the near to immediate term? And then second question. In terms of audio, can you help us understand kind of how big that is today in terms of the mix and where you see that going over the next 2 to 3 years? 
Jeffrey  Green: You bet. Thanks. So in terms of providing any guidance as to why that growth rate wouldn't continue or will continue, it's really too early for us to guide or change any guidance that we've given on 2017. We're working right now with our clients to plan 2017. We're doing that around the world. But from everything we hear, we think the ad industry as a whole will continue to see dollars shift to programmatic. But we'll, after next quarter's results, give more guidance on 2017 and growth rates. In terms of the size of opportunity in audio, we started with Spotify and we feel like that's such a luxury. That is a byproduct of our success and our size at this point to be able to partner with one of the best and frankly one of the most game-changing companies in the music industry in my lifetime. So we see that as such an honor. But while we've partnered with one of the biggest and most game-changing companies, there are many more to continue to partner with and expand that offering on. What is currently happening in programmatic is effectively we enable price discovery, right? We make it possible for people to know what they're buying and selling and figure out the right price. Because programmatic can encourage competition and it can make it so that you can get access to demand that you never would have been able to by pounding the phone or pounding the pavement. As the market matures, that can actually help prices go up and that's good for publishers. And because the efficacy is so much higher, it's still beneficial to advertisers. But when we're competing with a legacy radio distribution model, which is effectively salespeople pounding the pavement, it's so much easier to be more effective. So I think that in terms of the delta between the prices that ads clear at and the value that they create for advertisers, some of the most delta -- or some of the biggest delta or the biggest value that we can help customers find is in audio. So it's really exciting for us to be showing ads in the political or the election races, audio ads playing on phones while people are standing in line to vote. That sort of application and customization and targeting and user experience is just so much beyond what old-school radio could provide. And because it's early and there isn't competition other than sort of the legacy distribution model, it means there's real value there for our customers. So I expect that to continue and for us to continue to see more and more of our customers embrace digital audio. 
Operator: Our last question today comes from Youssef Squali with Cantor Fitzgerald. 
Youssef Squali: Congrats on a successful IPO and a successful quarter out of the gate. Let me actually take the last question and maybe flip it on its head. Jeff, just trying to figure out, what are the gating factors to you sustaining the growth ex the tough comps? So clearly, nobody can keep growing at 100% year in and year out. But if you strip those out and you look at other potential headwinds to your top line growth, can you just help us understand what those would be? And then maybe a quick question for Paul, and this is more of a long-term, kind of 3- to 5-year type of question, not 2 or 3 quarters out. As you work towards the 40%-plus goal for EBITDA margin that I think you guys talked about during the IPO, can you just talk to us about where you see the most margin leverage sooner rather than later as the model kind of evolves? 
Jeffrey  Green: You bet. So I'll talk about potential headwinds. And then, Paul, you can take the second half of the question. So I'll just highlight 2 of the headwinds that I think about most. And I shouldn't call them absolute headwinds. They're not. It really is a question of where are the risks, right, the risks of potential headwind. The first is in execution risk, right? So I think this is a case where programmatic is so much more effective than the legacy ways of transacting in advertising. And because of the increasing price of content creation and the increasing cost of ads, the need to use data and move to programmatic is inevitable. Like the industry is going to do it. Whether The Trade Desk does it or somebody else does it, it's going to happen. So then it just comes down to execution risk. Are -- can we manage our business in a way that we just don't get in our own way? That's the thing that I spend the most amount of time making certain that we don't screw it up. But the second sort of risk, if you will, I would just say, is adoption in bigger companies. So what -- programmatic, just like so many the things where there's tons of innovation, really started with small companies, like ours was, 7 years ago. And a whole bunch of smaller companies proved it and then big companies get in the space. And because this is the future of companies like AT&T or Time Warner or AOL, much, much bigger companies than frankly started the programmatic race, the question is, can they execute? Can they move things over quickly enough? Are television advertisers and content owners going to embrace it or resist it because it does represent change. Like the timing question of how quickly they'll embrace it can represent headwinds. But long term, there is no question that, in my mind at least, that they'll have to embrace programmatic. To the second part of the question, Paul, I'll turn it to you. 
Paul Ross: Yes, sure. So I think your question was about the 40% EBITDA margins looking out 3 to 5 years. And really the -- I've got a few comments to shed some light on that. I guess the first thing to keep in mind is because we're an MSA-based model and our existing customers are spending more and more every year, we are out there hitting the pavement to get I/Os signed up. And we don't need to add to our infrastructure at the same rate as revenue. So the gap revenue and operating cost, that gap increases over time, and our team ends up managing more on a revenue per head basis. So the operating leverage really comes naturally, and there really isn't anything specific that we need to do in order to get to that 40% EBITDA margin. On top of that, there are some incremental benefits of scale as our tech costs go down, as our win rate goes up. So when you put those 2 things together, the path to 40% is pretty clear. The only question is because we're only 2% done, how many years are we going to be invested at these rates before we end up north of 40%. Okay? 
Operator: Thank you, gentlemen. As there are no further questions at this time, this does conclude today's call. We thank you all for your participation, and you may now disconnect.